Operator: I would like to welcome everyone to the Huntington first quarter earnings conference call. (Operator Instructions) Mr. Gould, you may begin your conference.
Jay Gould: Thank you Ashley and welcome everybody. I'm Jay Gould, Director of Investor Relations for Huntington. Copies of the slides we will be reviewing can be found on our website huntington.com and this call as usual is being recorded and will be available as a rebroadcast starting about an hour from the close. Please call Investor Relations at 614-480-5676 for more information on how to access these recordings or playback or should you have difficulty getting a copy of the slides. Slides two and three note several aspects of the basis of today’s presentation. I encourage you to read these. So let me point out one key disclosure. This presentation contains both GAAP and non-GAAP financial measures where we believe it’s helpful to understanding Huntington’s results of operations or financial position. Where non-GAAP financial measures are used, the comparable GAAP financial measure as well as the reconciliation to the comparable GAAP financial measure can be found in the slide presentation in its appendix and the press release and in the quarterly finance review supplement to yesterday’s earnings press release, all of which are also on our website. Slide four, today’s discussion including Q-and-A period may contain forward-looking statements. Such statements are based on information and assumptions available at this time and are subject to change, risks and uncertainties which may cause actual results to differ materially. We assume no obligation to update such statements. For a complete discussion of the risks and uncertainties, please refer to this slide and materials filed with the SEC including our most recent Form 10-K and 8-K filings. Now, turning to today’s presentation, as noted on slide five, participating today are Tom Hoaglin, Chairman, President, and CEO; Don Kimble, Executive Vice President and Chief Financial Officer; and Tim Barber, Senior Vice President of Credit Risk Management. Let’s get started. Tom?
Thomas Hoaglin: Thank you Jay and welcome everyone. Before beginning the presentation, I want to explain why we reported earnings today rather than at our previously announced date next week. Over the last few weeks, our stock price has been under unusual negative pressures. We believe our performance this quarter was really pretty decent particularly given the increased softness in the overall and regional economies. So we wanted to get that information into the marketplace as soon as possible, hence our decision to announce earnings today. Now turning to slide six. I will begin with my usual assessment of first quarter events and performance. During this past quarter and given continued and some might argue increased economic uncertainties and market volatility, the issue of capital has become particularly topical. Yesterday we announced a 50% dividend reduction, not as a result of major credit challenges but rather to facilitate the issuance of capital. So, in addition to my usual assessment of first quarter results, I will comment on this decision and our views on capital. The next topic will be credit quality. As such, Tim will follow me and spend some additional time this morning reviewing this for you. Don will then review the quarter’s financial performance and our 2008 outlook and I will return with summary comments followed by Q-and-A. So let's get started. Turning to slide seven. Reported earnings were $0.35 per share. This included a net recent positive impact from significant items which Don will detail for you. Credit quality performance was basically as advertised. Net charge-offs were 48 basis points, well below our full year estimate of 60 to 65 basis points which by the way remains unchanged. Non-accrual loans increased 18%, mostly in the middle market commercial real estate and middle market C&I portfolio. Non-performing assets increased 1%. Given the environment, we built the absolute and relative level of our reserves with a provision that exceeded net charge-offs by $40.2 million. This was expected as our reserve methodology is designed to build reserves in anticipation of net charge-offs based on changes in the underlying current and anticipated creditworthiness of our borrowers. Since the 2007 fourth quarter restructuring of our lending relationship with Franklin Credit Management Corporation, there has been a lot of speculation about how this credit would perform going forward. While one quarter does not make a trend, we are clearly off to a good start. There were no Franklin related net charge-offs or provision for credit losses in the quarter. Our exposure declined by $30 million or 3%. As you know, as restructured, this relationship is more one of cash flow lending than collateral lending. Generating sufficient cash flow to support the debt is perhaps the issue of greatest investor significance regarding the performance of this lending relationship. As such and as Tim will detail, we are very pleased with the restructuring as having the desired effect. During the quarter, cash flow substantially exceeded that required for terms of the restructuring and in fact widened a bit more each successive month. We know investor comfort with this credit will take time, but we are off to a good start. The last item I’ve noted in my summary of our performance is that the net interest margin compressed more than anticipated. That was the primary reason underlying earnings came in slightly below our expectations. The reductions in interest rates in this past quarter both in magnitude and speed were unprecedented. Given the asset sensitive nature of our balance sheet in the short run, there was little we could do to minimize the margin squeeze. There our margin declined only 3 basis points. The quarter’s margin of 3.23% was almost 10 basis points less than our expectations at the time of last quarter’s call. And then we saw a good loan and deposit growth, the absolute level of net interest income nevertheless declined. I will let Don fill you in on the rest of the quarter’s financial performance details later in the presentation. Turning to slide eight, let me provide our views on capital, why we cut the dividend and summarize our 2008 outlook. Throughout the quarter, we saw increased economic and market uncertainty. There seem to be more negative news emerging every week and economic and market uncertainty skyrocketing. As a result, conserving capital took on new importance. As discussed on last quarter’s call, we anticipated issuing $250 million to $300 million or more of capital securities and we noted our intention that any issuance would be in the form of non-diluted securities. Unfortunately, the increased market uncertainty which was especially in the financial services issuers, made issuing such securities costs prohibited. We now anticipate issuing $500 million of capital in the form of convertible preferred securities. To accelerate the building of capital and lower the cost of issuing such convertible securities, the board announced yesterday a 50% reduction in our common stock dividend to $13.25 per share from $26.5 per share effective with the July 1 dividend payment. We know this is painful for our shareholders. Even though we believe that our revised targeted level of 2008 earnings which I will cover in a moment to continue to support our previous dividend level the uncertainties of the current environment demand that we proceed cautiously and conservatively with capital. We look forward to resuming dividend increases if the market stabilizes and our performance improves. This dividend reduction is a prudent decision to make in these times. Today we are reducing our 2008 full year earnings estimate to a $1.45 to $1.50 per share. This decline from our prior guidance primarily reflects about several factors. First, the fact that first quarter earnings came in a bit lower than expected. Second, a higher provision expense. Third, a lower net interest margin that assumed in our previous guidance but mostly the estimated dilutive impact of a planned capital issuance as noted earlier which we expect to be issued during the second quarter. With those initial comments let me turn the presentation over to Tim to talk about credit performance and trends.
Tim Barber : Thanks Tom. I would like to start with some additional discussion on the Franklin Credit relationship. As Tom noted earlier, the Franklin relationship performance was consistent with our expectations associated with the negotiated restructuring. Cash flows substantially exceeded the required debt payment and the loans continued to perform with interest accruing. The overall bank group debt was reduced by $50 million in the quarter with the Huntington debt reduced by $30 million. Certain provisions that being negotiated restructuring provides for a more rapid amortization on a certain participants portion of the debt. These provisions are expected to be satisfied early in the third quarter at which point all of the restructured debt thereafter will be repaid on a pro rata basis allowing the Huntington portion of the debt to begin to amortize more rapidly in the second half of the year. The restructured interest coverage governance was set at 1.25 times for the entire bank group debt based on a one month LIBOR rate of 4.5% with an average spread of 238. The bank group participated in an interest rate swap to Franklin under which the current interest rate on a significant portion of their debt has been locked at a level that at current market rates provides them approximately $25 million in lower interests cost this year. Franklin in conjunction with the bank group is currently in the process of implementing a similar structure for an additional portion of the debt. These interest rate actions provide protection against rising interest rates in the future. As seen graphically on slide 9 Franklin generated cash flow at a consistent level over the course of the quarter. The principal and interest components have been relatively stable in each of the last three months. The principal repayment in particular has stabilized despite the continuing lack of available credit in the markets for sub prime and Alt-A borrowers. The OREO net proceeds show an upward trend as the pace of sales has increased in each of the last three months. I have noticed the fact that the cash flow generated on defaulted receivables for Huntington’s definition of a 120 days past due contractually exceeded our expectations. This is generally a result of recency payments which we view as one of the indicators of continued solid servicing capabilities. Our original credit assumptions contemplated a lower level of recency payments than are currently being generated. The sales of OREO properties are generating proceeds consistent with our expectations. Based on our ongoing assessment of the relationship Huntington continues to maintain a reserve of $115 million or 10% associated with the Franklin exposure. When viewed in the context of the trenches setup as part of the restructuring the reversed level represents 33% of trench B. Given our expectation of the orderly repayment of trench A over the next 4 to 5 years the coverage ratio associated with only trench B is more meaningful when assessing the adequacy of the reserve. As is our customary practice we will continue to evaluate the adequacy of the reserve quarterly. Regarding the performance of the underlying collateral please refer to the Franklin credit management Corporation 10K report. Subsequent performance metrics over the course of the first quarter were consistent with our expectations for performance. Like all the earlier discussions around cash flow generated from borrowers over 120 days delinquent contractually. In summary the cash flows being generated by Franklin are more than sufficient to meet the debt service requirement. The loans are paying as agreed with all covenants met and the performance of Franklin servicing group continues to meet our expectations. In addition Franklin is actively pursuing ancillary servicing opportunities that could provide additional cash flow sources in the future. I want to use the next few slides to highlight credit quality trends and metrics as well as provide comments on some of the key portfolios. Slide 10 provides a high level review of some key credit quality performance trends. It is important to emphasize that from a regulatory reporting standpoint, Franklin is categorized as a performing loan. It is accruing interest like any other commercial loan. The performing status as a result of the positive repayment capabilities associated with the restructure. In contrast for GAAP external reporting Franklin is categorized as a troubled debt restructuring and classified as part of non performing assets. This resulted in the significant increase in our reported non performing assets in the fourth quarter even though these loans are accruing interests. As shown here our reported NPA ratio declined slightly to 4.08% and our net charge off ratio with 48 basis points. Due to the significant impact of both Franklin and the health for sale portfolio which are classified as non performing assets, we believe non accruing loan metrics provide better tracking of underlying trends and problem assets. As shown on the second line of this table our no accruing loan ratio with 92 basis points up from 80 basis points from the fourth quarter. This increase was driven primarily by activity in the middle market C&I and commercial real estate segment. Our total net charge off ratio of 48 basis points was substantially below our full year expectation of 60 to 65 basis points. The middle market C NI and middle market CRE portfolio net charge offs were significantly lower than the full year expectations. In contrast the total consumer portfolio net charge offs were generally higher than expectations. We overdraft each of the portfolio first quarter performance compare with our 2008 folio targets on upcoming slides. In a moment on slide 11 you will see that the increase in non accruing loans was primarily concentrated in the middle market, commercial real estate and middle market CNI portfolios. The middle market commercial real estate increase was driven by continued activity in the single family home builder portfolio which I will specifically address shortly. The residential mortgage results reflected increase in delinquency rates while the middle market CNI increase primarily related to smaller borrowers generally in the $1 million to $2 million exposure range with no particular geographic concentration. As shown at the bottom of slide 10, both the allowance for loan and lease losses and the allowance for credit loss ratios have increased as a percentage of related out standings to 153 basis points and 167 basis points respectively. The decline in the non-accruing loan coverage ratio is a function of newly identified non-accruals not require any increases to the existing reserve calculations. The vast majority of the new non-accruals had previously been identified as sub-standard loans with an appropriate allowance or size. Despite the decline from the prior period levels, we believe that these coverage ratios continue to represent adequate levels of reserves. Slide 11 details our non-accruing loans and shows the other categories that add up to the total non-performing asset levels. The level of classified loans increased by $43 million in the quarter to $210 million or 12 .4% of the portfolio. The non-performing asset level also increased over the quarter to $78 million or 4.6%. The reserves held against the portfolio increased to 3.9%. Given the aggressive write-downs associated with loans in the non-performing asset category, the current reserve level is adequate given our expectations for 2008. For 2008, we are expecting single family homebuilder losses to be in the 150 basis point range. It is important to note that we expect the residential developer market to continue to be depressed and anticipate continued pressure on the single family homebuilder segment in the coming months. I want to use slides 14 through 16 to review our exposure to residential secured loans, industry segments of keen investor interest and concern. Slide 14 summarizes our residential mortgage portfolio. We were pleased that the first quarter net charge-off ratio remained below our expected full year targeted range. The segments of our portfolio defined as nontraditional mortgages include Alt-A and interest-only products. We have never originated any payment option ARMs. Our Alt-A exposure continues to decline and our interest-only products continue to perform well. Our exposure to ARM reset risk is mitigated by our updated bureau score distribution and the fact that we service our own portfolio. We have a proactive call-in effort to ensure that all of our borrowers are aware of the impact of the upcoming result and last mitigation strategies are helping us to dispose with payment difficulties. Turning to the home equity lending portfolio as shown on slide 15, the net charge off ratio 80 basis points was higher than our 2008 forecast of 65 to 75 basis points. First quarter performance included a substantial amount of break downs based on our conservative valuation assumptions associated with delinquent borrowers. The housing market in our foot print remains stressed with relatively lower sales activity. This was the driving force behind our higher levels of net charge offs in the first quarter. We continue to be comfortable that our policies and practices have positively differentiated us from the industry in this segment and believe our home equity net charge offs will peak this year and compare well to overall expected industry performance. As we have discussed in past presentations our decision to eliminate broker originated home equity loans beginning in 2005 is a major reason for our more positive view compared to what we are hearing to be general industry trends. Slide 16 represents our home equity vintage charge which you saw it for the time last quarter. As stated then our vintage performance continues to be within fairly narrow bands and the more recent vintages showing better results than the older vintages. Slide 17 and 18 detail our expected net charge off outlook by portfolio. Our overall expectation of 60 to 65 basis points remains unchanged but we have fine tuned some of the individual portfolios assets. We reduced the middle market commercial real estate outlook by 10 basis point based on our first quarter performance and a detailed review of the rest of the portfolio. The business banking outlook range was increased by 10 basis points reflecting an increased level of strakes in our smaller dollar segments. A higher than anticipated first quarter results in this segment was driven by activity in the under $100,000.00 aggregate exposure segment. We have implemented a number of steps to improve our ongoing management of these borrowers and to enhance our under writing processes. The auto loan and lease portfolio of first quarter results was higher than expected. However during the quarter we saw good improvement in the 60 days and over delinquency buckets compared to the fourth quarter of 2007. A 20% decline as of March 31, with a declining trend allow us to remain comfortable with the full year outlook. In sum even though our first quarter performances in some segments exceeded our full year targeted range, performance was below expectations in other segments and for other segments was within our targeted range. On balance we believe these will net out over the course of 2008 and remain comfortable with our full year targeted range of 60 to 65 basis points. That concludes that credit discussions. Let me turn the presentation over to Don who will discuss our first quarter financial performance.
Don Kimble : Thanks Tim turning to slide 19 our reported net income was a $127.1 million or $0.35 per common share for the quarter. These results were impacted by 5 to a given high of first the aggregate impact of $37.5 million or $0.07 per share from the Visa IPO. This included $25.1 million of gain resulting from the proceeds of the IPO and $12.4 million from the reversals of about half the indemnification reserve established in the fourth quarter. You can get today’s market price for visa. We got approximately $44 million of unrecognized value in visa stocks and a $12.4 million reserve for future identification. Second a $11.1 million or $0.03 per share income tax benefit due to the reduction of the previously established capital loss carry forward valuation allowance which is also a result of the Visa IPO. Third, we had $20 million or $0.04 per share of net market related losses consisting of three items; $18.8 million of negative impact from the revaluation of mortgage servicing rights net of hedging. This past quarter experienced extreme levels of volatility in the mortgage market including the significant expansion of credit spreads. This volatility significantly increase the negative impact of holding mortgage servicing rights. Since the end of the quarter and going forward, we had engaged a third-party to provide the valuation, analytical tools and insight or additional insight for our MSR hedging strategies. We also had $2.7 million of equity investment losses which were offset by $1.4 million of net security gains. Fourth, we had $11 million or $0.02 per share of asset impairment including a $5.9 million write-off of a venture capital investment in Skybus Airlines, a Columbus, Ohio-based discount airline that filed for bankruptcy in early April. Lastly, $7.1 million or $0.01 per share of merger costs. Slide 20 provides a quick snapshot of the quarter’s performance. As previously noted, our reported net income was $0.35 per share. Our net interest margin was 3.23%, down 3 basis points. We will cover this in more detail later. Average total commercial loans increased at a 6% annualized base and average total consumer loans were down slightly from the prior period. Average total core deposits were also down slightly reflecting seasonal productions in the commercial non-interest bearing balances. We had mixed the income performance during the quarter as mortgage insurance fees were up 21% including the seasonal increase in insurance revenues. Mortgage origination income increased due to significant tick-up in the refinance activity reflecting low market interest rates. Deposit and service charge income reflected the normal seasonally downward trend and trust income was also down slightly due to lower market value of managed assets. Expense levels were up slightly from the fourth quarter after adjusting for merger costs and the significant items noted before. This increase was related to seasonally higher employment taxes, occupancy costs due to snow removal utilities and automobile operating leases and oil losses. These increases were partially offset by the fact we have now realized 100% of our targeted $115 million of annualized expense efficiencies related to the Sky Financial acquisition. As Tim noted earlier, our charge-off ratio of 48 basis points was below our full year expectation of 65 basis points. Our Tier 1 and total risk-based capital ratios increased slightly to 7.55% and 10.86% respectively despite a $500 million increase in our risk-weighted assets. Slide 21 provides a summary of many of the quarterly performance ratios. Most leads will be reviewed in more detail later, so let's move on. Slide 22 and 23 include trends for both revenues and expenses. For comparisons with the first quarter 2007, we provided an adjustment for the merger related impact of the acquisition of Sky Financial. Starting with revenues on slide 22, non-merger related net interest income was down from the previous quarter and from year ago quarter. These declines reflected the impact our lower net interest margin resulting from declining interest rates and from the impact of the Franklin credit restructuring; more on this later. Non-merger related fee income was up nicely over the previous year with good growth in deposit service charges, brokerage and insurance revenues and other service charge income. The changes in mortgage and other income categories reflected the impact of the significant items noted earlier including the net loss on hedging of MSR positions and the gain resulting from the Visa IPO. The linked quarter non-interest income comparisons reflected the normal seasonal declines for deposit of service charges as well as the impact of the significant items noted before. Expense trends on slide 23 are also adjusted for the merger related impact of Sky Financial acquisition in the year-over-year comparison and for the impact of merger costs and both the year-over-year and linked quarter comparisons. Both periods show that non-merger related expenses decline on both a year-over-year basis and a linked quarter basis. Looking at the linked quarter change, non-merger related non-interest expense was down $31.7 million. The significant items in both periods impacted most of this change including the Visa indemnification charge in the prior quarter and the third quarters of partial reversal of that charge. These significant items reduced the linked quarter expenses about $41.1 million. Offsetting this reduction, the $5.4 million in seasonally higher employment taxes, a $4 million increase in snow removal and utilities expense, $2.6 million in growth and automobile operating lease expenses, and $1.5 million in higher oil expenses. Adjusting for these items, our non-merger related non-interest expense would have declined over $4 million. This decline was largely a result of the full realization of the merger expense efficiencies from the Sky Financial merger. We remain focused on expenses and are still identifying additional expense opportunities and are targeting lower levels of expense for the rest of the year. Turning to slide 24, we have provided a summary of the loan trends. Looking at the linked quarter trends, loan balances increased an annualized 3% driven by growth in commercial loans. Contributing to growth was an increase in the middle market commercial real estate loans reflecting permanent funding in the retail, warehouse and multifamily segments. It was not related to increases in the single family homebuilder segment for funding of interest on existing construction loans. The growth in middle market C&I was comprised primarily of new or increased loan facilities to existing borrowers. Consumer loans were relatively stable at the prior period of reflecting good growth in automobile loans offset by continued declines in auto leases and residential real estate loans. Comparisons with the first quarter 2007 were impacted by the acquisition of Sky Financial. Slide 25 provides the trend for our deposit balances. Again, focusing on the linked quarter change, our deposit balances were up slightly with core deposits down slightly. The core deposit decline was due to the seasonal decline in non-interest bearing deposit accounts. These increase in other deposits primarily came from customer relationships as brokered deposits were up relatively stable with the prior quarter. Turning to slide 26. During the quarter, our net interest margin came down by 3 basis points to 3.23%. This decline reflected the impact of three primary items; first, the fourth quarter included a 15 basis point hit from the non-accrual impact of the Franklin loans while they were being restructured. Second, as a result of the restructuring of the Franklin credit relationship, we had a $400 million lower commercial loan balance and are no longer accreting a purchase accounting discount into income. This had a permanent negative impact of 10 basis points for the quarter. Finally, we were asset sensitive going into the quarter and the relative cost of national market funding increased significantly. These two issues negatively impacted our margin by 9 basis points. During the quarter, we added $2.5 billion of interest rate swaps to mitigate the impact of winning further rate cuts. Our investment portfolio summary is provided on slide 27. $4.3 billion portfolio consists mainly of $2.2 billion of mortgage backed securities primarily agency securities and AAA rated sub-prime CMOs. It was at $751 million of asset backed securities including $502 million of AAA rated Alt-A mortgage backed assets, $247 million full trust preferred securities, and less than $3 million of net interest margin bonds which were the primary source of our impairment charges. We also had $716 million of municipal bonds. Late in the quarter, credits spreads increased significantly on our prime CMOs in our asset backed portfolios. This increase resulted in a reduction in the market value of our portfolio of $125 million. We have reviewed the investments with a third party to verify conclusion of market decline were not reflected at lower expected future cash flows from the securities and are therefore not permanently impaired. However these prices were used to value the portfolio and resulted in a $70 million after-tax reduction to other comprehensive income from our component of equity. Slide 28 show the trends in our capital ratios. Our risk-based capital ratio increased slightly from the end of the prior quarter reflecting the benefit of the earnings retained during the quarter partially offset by increase in our risk-weighted assets. Our tangible equity ratio declined by 16 basis points during the quarter. 14 basis points of this change is related to the $70 million after-tax impact on the lower security values mentioned earlier. Slide 29 provides additional color on our capital position; first, with our announced dividend reduction and as compared with our revised $1.45 to $1.50 earnings per share target, our run rate payout ratio is expected to decline to 35% to 37%. This is appropriate given the current environment and our need to build capital given the uncertain economic environments. Internal general capital generation rate grew to 5% to 6%. Shown next are regulatory capital ratios. Each regulatory capital ratio was well above the regulatory defined well capitalized levels. Finally, our planned $500 million capital issuance is expected to increase these capital ratios by approximately 100 basis points. Turning to slide 30, we provided additional detail to help you analyze our earning guidance. As you now, when earnings guidance is given, it is our practice to do so on a GAAP basis unless otherwise noted. Such guidance include the expected results of all significant forecasted activities. However, guidance typically excludes selected items with the timing and the financial impact is uncertain until the impact can be reasonably forecast and it excludes any unusual or one-time items as well. We are adjusting our 2008 earnings guidance to $1.45 to $1.50 per share. We anticipate that the economic environment will continue to be negatively impacted by weaknesses in residential real estate market. It continues to be our expectation that any impacts will be upgraded among our borrowers in our Eastern Michigan and Northern Ohio markets. And however interest rates may change, we expect to maintain a relatively neutral interest rate risk position. Given this backdrop, here are our outlook comments. A full year net interest margin of around 320, full year average total loan growth in the mid and the low-single-digit range offers 2007 fourth quarter level with average commercial loan growth in the mid-single-digit range and average total consumer loans being relatively flat, reflecting continued softness in the residential mortgage and home equity loan growth. Full year average core deposit growth in the low-single digit range off to 2007 fourth quarter level. Full year non-interest income growth in low-single-digit range from the annualized 2008 first quarter level adjusted for seasonal performance and the significant items noted on slide 19. Full year non-interest expense level that is flat to down from the annualized 2008 first quarter non-interest expense level, again adjusted for seasonal performance and other significant items. Regarding credit quality performance, we anticipate full year next charge-offs to be in a 60 to 65 basis point range. Non-accrual loans on an absolute and relative basis are expected to increase modestly. Lastly, we anticipate moderate increases from the long unreserved ratio from 1.53% level at March 31 through June 30 with modest increases thereafter throughout the end of the year. When considering our earning guidance keep in mind the seasonal impact of the various income statement items including our net interest income was down at about $4 million lower in the first quarter due to the day count. Our deposit service charges were $9 million lower due to seasonality and expenses were $9 million higher due to certain seasonal impacts including employment taxes and occupancy costs. Also our outlook for provision expense would assume modest to quarterly increases in the allowance throughout the year and not the $40 million increase recorded in the first quarter. Regarding capital, we are assuming the capital insurance mentioned earlier and we are also assuming no share repurchase activity. Again all this resulted in a targeted reported EPS for 2008 earning of $1.45 to $1.50 per share. Let me turn the presentation back over to Tom.
Tom Hoaglin : Thanks Don we have covered a lot of ground in a short period of time, so let me recap the key points that we feel are important that are investors understand. Reported earnings of $0.35 per share included a net positive impact of $0.03 from significant items with underlying earnings therefore coming in just below expectations, mostly due to higher provision from credit losses and margin depression. Second, we feel pretty good about our credit performance and the end prospects. Not a great deal has changed in our outlook after 3 months of actual results and a thorough look ahead through the remainder of 2008. Third our Franklin relationship is doing just fine. We think that will continue to be the case. Fourth our primary businesses are performing well. Lower deposit growth was reasonable as well as our fee income expense performance after having consideration to seasonal factors that generally lowered fees and raised expenses. Going forward and consistent with our view at the beginning of the year we are not assuming any relief from the economic environment for the foreseeable of our future. This is going to be a tough year. Given this environment the dividend reduction was a hard but correct we feel decision. Our reduced earnings estimate of $1.45 to $1.50 per share reflects the first quarter’s performance and assumes continued margin pressure, higher provision expense and a negative impact from a planned issuance of diluted capital securities. We know this new targeted range is above the current analyst’s consensus. Never-the-less the primary assumption difference between our outlook and that of analysts seems to be in the area of credit quality performance expectations. Analysts are generally more bearish, never-the-less we firmly believe in our assumptions. Lastly, we remain focused on delivery results rebuilding value for our shareholders. As I stated 3 months ago we know only by delivering results we will regain credibility with investors. Through hard work and focus on performance we are up to the task. Operator we are ready to take questions.
Operator: (Operator Instructions) And our first question comes from the line of Mathew O’Connor with UBS.
Mathew O’ Connor - UBS : Two questions; first Don you mentioned on the expense management side that our expense was a trend down from here and you are looking for other ways to reduce costs. I just wondered if you could size that up. You’ve -- I think done on a pretty good job managing expenses so far and I am just wondering how much less there is.
Don Kimble: Yeah, that we believe that our core level expenses, average making items in the first quarter of about $370 million that includes about $9 million worth of what we term to be seasonal issues associated employment taxes and seasonal snow removal. So we are assuming that that adjusted levels of expenses will be relatively flat to slightly down from that. We are continuing to focus on areas for additional efficiency improvements and taking a look a look at where our various components compared to either peers within Huntington or outside of Huntington and then continue to push on those opportunities.
Tom Hoaglin: Let met just talk, let me just say that we as a team recognize when revenues are under pressure and when charge-offs, credit costs in general are elevated, expenses need to cut down. So we are highly motivated inside the organization turning over all kinds of rocks. We have no interest in interfering with our ability to execute against our business model of a local bank with national resources and local decisioning for a value proposition of service and excellence, but given that there are still a lot of expense that the team understands can be taken out and we are squarely focused on accomplishing that and that’s built into our earnings forecast for the balance of the year.
Mathew O’ Connor - UBS : Okay, that’s helpful. And then Tom, just a separate question here. They often get asked with respect to franchise value. I have spoken to two of your competitors in recent months here regarding your franchise that they do view as being very valuable and I'm just wondering how you think about things in light of the capital raise, dividend cuts, just more difficult environment overall. You are more open to consolidation now than in the past.
Tom Hoaglin: It’s always nice to know that others share our point of view about the value of the franchise. So we appreciate the feedback there. Just as a reminder, while we certainly -- while we are quite comfortable with our own outlook for the rest of the year, we are nervous about what the future looks like on a macro basis, how much worse do the debt markets get or how long will they be in turmoil, how bad will the economic downturn be, etcetera. We have none of us has ever lived through any of these. So we are just trying to be as cautious as we can which brought us to the capital raise position. As it relates to the future, our feeling continues to be, we as a team has to demonstrate to our shareholders who certainly have not been extraordinarily rewarded to date that we were able to execute well and deliver value for them. We believe that’s going to be the case. We believe that the first quarter and our outlook for the rest of the year in contrast to the experience of others would indicate that to be the case and we recognize people have to see the results before they buy into that. In the event that we are not able to execute against that, then we have to consider a wide variety of alternatives because our commitment is to shareholders. But we believe we are on the right track. We believe that there are better days ahead and we believe that the conviction we had underlying the purchase of Sky will remain, and that is we have got a slow growth market and value could be created for shareholders by combining, taking cost down and answering customer convenience rather than going to other parts of the country. So we hope to -- once this stage of the credit cycle passes to continue on that path.
Mathew O’ Connor – UBS: Okay thank you,
Operator: Our next question comes from the line Scott Siefers.
Scott Siefers: Just had couple of questions on capital levels. What is -- I know you guys have a historical look at the annual common equity ratio. What -- I guess following the capital raise are the numbers that you are going to be looking at most heavily internally, regulatory ratios aside, where would this put you relative to those numbers and then I guess just in terms of the size of the capital raise I know it was much larger than you had suggested a couple of months ago, but by the same token I guess what led you to believe that the $500 million was the appropriate number I guess why not may be go up a little more than that even.
Tom Hoaglin : Scott this Tom. Let me handle the last part of your question and then we’ll pass it on to being involved with the first part. I don’t know that there is a science aspect of this. We just have been so frustrated about our inability to access markets for non-dilutive securities even at lower amounts and we felt like we were faced with the choice. We could issue this kind of security now where there is a demand we believe and end up having too much capital down the road if there aren’t -- if conditions improve or we could wait and not do it and then hope that the markets open up for non-dilutive capital later and hope that we are able to access when the needs arise and we had felt that the far lesser risk was to move forward today. As far as the amount is concerned I mean we are trying very much to balance our caution with regard to just protecting ourselves for the future versus dilution to existing shareholders and we felt that the 500 million target got us to that relatively acceptable balance point, so I hope that helps.
Scott Siefers: Yep.
Don Kimble : As far as the capital level as you mentioned before we previously focused on tangible common equity. Like I said, with this issuance and with the high equity content that it will provide will provide, it will probably focus a little bit more on tangible equity and so this issuance are going to be included in there and so our tangible equity ratio would increase by almost a 100 basis point without bringing us fairly close to the 6% tangible equity ratio. Take a look at the other factors that we will consider will be tier I until the capital ratios with the holding company. With this issuance would be north 1850 tier I ratio which we view as very, very strong and the total capital ratio would be very close to a 12% threshold and both those would be at or slightly above what our targeted ranges would be for those levels long term. Again as Tom said that we think it’s probably more prudent to have extra capital then to be running the risk that we issue too little and wish we would issue more later.
Scott Siefers: Okay thank you.
Operator: Our next question comes from line it’s Brian Foran with Goldman Sachs.
Don Kimble : Hi Brian.
Brian Foran: Tim, the point about capital you just made. I mean is everyone regulators and rating agencies comfortable with kind of the chance of a prolonged period where you can have 8.5 tier I -- 6% trends were tangible equity, but tangible common could be 5% give or take for a couple of quarters here.
– Goldman Sachs: Tim, the point about capital you just made. I mean is everyone regulators and rating agencies comfortable with kind of the chance of a prolonged period where you can have 8.5 tier I -- 6% trends were tangible equity, but tangible common could be 5% give or take for a couple of quarters here.
Tom Hoaglin : Brian this is Tom Hoaglin. Are you asking that the regulators signed off on this approach?
Brian Foran: Yeah exactly. I mean is there any scenario where the tangible common ratio would need to be raised the access in the capital markets or is it basically a situation where we should just forget about tangible comment for a while and focus on tangible equity including preferred in tier I?
– Goldman Sachs: Yeah exactly. I mean is there any scenario where the tangible common ratio would need to be raised the access in the capital markets or is it basically a situation where we should just forget about tangible comment for a while and focus on tangible equity including preferred in tier I?
Tom Hoaglin : As far as the tangible comment that was more of an internal Huntington ratio that we focused on. If look at the regulator, they look at tier I in total and tier I leveraged ratio and we are very well positioned for that especially with this $500 million capital raise. As far as rated agencies they would have their own measures as far as capital adequacy. When we talked before -- previously we made an announcement to the raise $250 million to $300 million in capital. Those conversations were shared with the regulators and rating agencies with no more definitive plans or commitments beyond that and so we don’t believe that it will have any negative reaction at all as far as capital and it should be positive as far as the impact with the capital raise and the actions we took as far as dividend would help support that capital level even more. To state the, what probably is the obvious I think in these times banking regulators are interested in more capital in the entire system. So there is nothing of a Huntington specific concern here at all. I think people are just appropriately nervous about what might happen. Somehow I’ll be and will defined in the future in making sure that systemic capital levels are adequate.
Brian Foran: Thank you and then I know auto isn’t necessarily the biggest issue facing the company, but if you look at the losses, they are up in a quarter where they are seasonally usually down and then on page 28 you have got growth at 34% annualized with a foot note about an impact from loans sales. Can you just kind of give us more color on the credit and then does that -- is that foot note implied -- you tried to sell loans and weren’t able to?
– Goldman Sachs: Thank you and then I know auto isn’t necessarily the biggest issue facing the company, but if you look at the losses, they are up in a quarter where they are seasonally usually down and then on page 28 you have got growth at 34% annualized with a foot note about an impact from loans sales. Can you just kind of give us more color on the credit and then does that -- is that foot note implied -- you tried to sell loans and weren’t able to?
Tim Barber : No. They are -- let me go in order. The first quarter is not typically a seasonally down quarter. Fourth and first are high, second and third are low. It was a little higher than we thought it would be. I am not saying it wasn’t, but we remain comfortable with our full year outlook for the other portfolio.
Tom Hoaglin : Yeah, let me just jump in there. As we reported a quarter ago fourth quarter auto charge offs were a bit elevated because of the impact of the sky -- bringing of the sky portfolio which was not what we would want it to be in the way of documentation completion and we had some prior charge offs as a result of that. Some of the impact in the first quarter continued to be filled from the sky portfolio. The delinquencies trends and the overall auto portfolio are very positive and we have a great deal of confidence that the charge off rates will fall considerably in the coming quarters. Tim?
Tim Barber : Yep, the comments on slide 28 about loan sales and prior years 2005 or 2006, we had a loan -- a flow sale program that we talked about publicly. When that program ended we were -- we maintained all of our production on our balance sheet. What we had been selling had a higher risk profile based on the based on the link so that’s has an impact and so there is nothing to deal with. We tried to sell and couldn’t. We think our loans would stack up pretty nicely compared to any of the activity that’s going on in the market today actually.
Tom Hoaglin : Good point and we were selling off about half of our production and so that’s what the comment of getting that so was not selling off that half of the production our balance will show a little bit artificial growth because we are retaining that on balance sheet as supposed to half balance sheet.
Brian Foran: Okay thank you.
– Goldman Sachs: Okay thank you.
Operator: Our next question comes from the line Terry Mcevoy with Oppenheimer & Co.
Terry Mcevoy - Oppenheimer & Co. : Thanks good morning.
Don Kimble : Hi Terry.
Terry Mcevoy - Oppenheimer & Co. : Earlier in your discussion you talked about the reason why you’re raising 500 versus the 250 and 300. It’s and when just that increased economic and market uncertainty and so it is little surprise to see that you didn’t raise your full year ‘08 guidance or outlook for net charge off seems to be one statement says that that number might be higher then you had felt in January when the first capital raise was announced. I guess the question is what gives you the confidence that charge offs are going to stay within that initial range provided three months ago.
Tom Hoaglin : This is Tom, Terry and again what we underscore that nothing about this capital raise is being done in anticipation of a deterioration in Huntington’s credit in contrast of what’s effecting a number of others. What gives us as much confidence as you could have in this kind of environment is a very thorough review portfolio by portfolio by portfolio on the commercial side names, values, exposures likely deterioration of the consumer side things like delinquencies trends, credit characteristic. Tim jump in here.
Tim Barber : Yeah on the consumer side we are looking at updated record scores, we are looking at where the current vintages are performing, these of the prior vintages, those kinds of things as we talked about in the credit discussion. Some of the portfolios were a little higher than our ranges, a couple were significantly below and a couple were right on top of it and an aggregate looking forward through 2008 we feel comfortable at 60 to 65.
Tom Hoaglin : We recognize that there is a -- not a broad acceptance of our charge off estimates for the year. There wasn’t a quarter ago and we came in at 48 basis points. We haven’t changed our overall full year and there may not be a broad acceptance of it today but with three months actual under a belt and with three months more review of what next 9 months looks like, we continue to be comfortable with that 60 to 65 basis points. All be it having gotten there shifting around as we said earlier some of the individual components in terms of charge off levels.
Terry Mcevoy - Oppenheimer & Co. : And just one more question. In order to preserve the franchise value that was brought up earlier what are you doing internally to just manage the disruption cutting the dividends and the stock price etc, to make sure that the people and the franchise remains intact and doesn’t get distracted through this -- through all noise.
Tom Hoaglin : Well I think you think that there is been some internal disruption, we haven’t seen any internal disruption and our people are enthusiastic, they are squarely focused. I mean they read in the media headlines about the industry just like anybody else and they have kind of natural anxieties that they get asked like by customers’ questions about financial services sector in general and Huntington in particular, but I think they move forward with the kind of confidence that we feel. So believe it or not, we have not experienced any disruption internally at all. It doesn’t mean that it’s easy to execute. It’s a tough environment but we haven’t lost focus.
Terry Mcevoy - Oppenheimer & Co. : Appreciate it. Thank you.
Operator: Your next question comes from the line of Bob Hughes with KBW.
Don Kimble : Hi Bob.
Operator: Bob, your line is open. Our next question comes from the line of Tony Davis with Stifel Nicolaus.
Tony Davis - Stifel Nicolaus: Hi Don and good morning Tim.
Don Kimble : Good morning.
Tony Davis - Stifel Nicolaus: Don, you took a pretty big core margin hit from re-pricing here this last quarter. What percent of the loans right now are for LIBOR prime based and are you considering your steps here to mitigate that sensitivity?
Don Kimble : Yeah, we have already taken steps to mitigate that sensitivity that we were more asset sensitive going into the quarter that we don’t like to be. We did increase our interest rate swap position by $2.5 billion to where we are now, extremely asset and liability neutral as far as re-pricing. Our loans are a little more than 50%, variable either a LIBOR or Prime based and we continue to model that out in the performance of those loans and the re-pricing characteristics compared to our deposit re-pricing assumptions.
Tony Davis - Stifel Nicolaus: Okay. And previously the evaluation on allowance adjustment, I wonder what’s the size of the portfolio right now. What’s the MSR as the percent of that servicing -- of the loan servicing? I guess a more broad question maybe for Tom on the sense of business you want to bring in long term.
Tom Hoaglin : Let me take, while we are looking for the numbers here, let me take the last part of that question. We as a bank that prides itself in being a local bank, we want to make sure that we offer first mortgage lending -- first mortgage borrowing opportunities to our customers in each of our markets and so, we value the continuing relationship with our customers that servicing represents. What we don’t value so much is servicing for non-core banking customers and so from time to time as market conditions allow we pair the portion of our servicing portfolio that we consider to be not core and maybe that’s the best answer I can give you.
Tony Davis - Stifel Nicolaus: Okay.
Don Kimble : As far as the size of the mortgage servicing asset on our balance sheet is $192 million net value basis of loan service to others of $15.1 billion, which represents about 1.27% of the servicing portfolio.
Tony Davis - Stifel Nicolaus: Okay, Don. Tim and I can’t let you get away here -- on question with the Michigan and the Ohio markets have deteriorated over the last year or so and yet [inaudible] the economic component of the loan loss reserve is unchanged and I just wonder if you could give us your thoughts on that.
Tim Barber : We continue -- we have used essentially the same methodology over the last couple of years and have been consistent in our factors. I think there has been some deterioration or some change in the economic component. So if you look over the course of third quarter, fourth quarter of ’07 to first quarter ’08, the economic reserve gone from 17 to 19 basis points. So that is an increase. I think that part of the issue is Ohio and Michigan have been lower economic growth states for quite a while certainly compared to the nation and so while the national numbers may be changing pretty dramatically, Ohio and Michigan were already at a relatively low level. So their numbers are not moving maybe as much as you might expect.
Tom Hoaglin : You don’t think that -- if you are looking prior than the third quarter of ’07, when we acquired Sky we basically took the unallocated reserve at that time and put it into our economic reserve and so the relative change may have influenced that analysis as well.
Tony Davis - Stifel Nicolaus: Thanks.
Operator: Our next question comes from the line Bob Hughes at KBW.
Bob Hughes - KBW: A question on some of your credit assumptions. I noticed in the text that you talked about moderating consumer charge-offs in the second half of the year particularly auto and home equity and I want to dig into both as a little bit. Number one, I think we have seen pretty consistent declines in used car values to be the Manheim Index and you indicated that you are seeing some signs that those are strengthening. I wonder if you could clarify a little bit where you are seeing that.
Tim Barber : There is a very consistent pattern on an annual basis associated with those values and typically you see an increase in values in the “spring selling season” or in anticipation of the spring selling season. That was clearly delayed this year. So in prior years, we start seeing the increases maybe in February. We did not see it and that’s I think what you are referencing. What we are starting to see is maybe that becomes an April, May issue as opposed to historically a February issue.
Bob Hughes - KBW: Okay and is there a reason to believe that there are some temporary issues that cause that delay? In my mind with the -- increased stress in the consumer and skyrocketing oil prices is maybe premature to assume that used to be [inaudible] going to rebound.
Tim Barber : Well, rebound. I think they are going to improve. I think consumers are much more likely today to buy used cars than they were a couple of years ago. That’s one factor that’s out there and that’s representative across the industry it is represented even what we do what were originating comparing today versus a couple of years ago, so I mean I think it will -- I think they will come up. I am not saying they are going to go up to levels that we saw a couple of years ago, but they are certainly not going to stay at the level they have been there is definitely a spring selling season Bob.
Tom Hoaglin : And part of our charge offs were auto. It is a pulse that are more based on the fact that we are seeing little more delinquencies as opposed to just based on these car values we as far their outlook for lower charge offs.
Tim Barber : Yeah.
Bob Hughes - KBW: Okay, but you would see seasonally you would see lower delinquencies is that right?
Tim Barber :
Bob Hughes - KBW: But you would say that your delinquencies -- I know you reference your 60 plus delinquencies being down 20% or so from December 31, but how would that compare to prior yours of your portfolio?
Don Kimble : There is an absolutely a season decline probably a little stronger in this particular situation than in the past quarter comparisons.
Bob Hughes - KBW: Okay but you wouldn’t necessarily say that you are assuming that loss of severity and auto eases over the course of this year then per say.
Tim Barber : It will ease compare to the severity of the fourth and the first quarter. It will not be all of a sudden dramatically lower than certainly what we were expecting.
Bob Hughes - KBW: Okay and then in home equity I notice that you talk about losses moderating the second half of the year. I guess in part owing to run off in the broker book, that’s only about 10% and then the other piece is loss mitigation program, so I wondered if you could shed a little bit more light on what that program consists off.
Tim Barber : I will try. Certainly we have had lots of mitigation programs in place for quite a while. We became extremely focused on those activities in late fourth quarter and early first quarter 2008 and I think we are starting to see some real traction in those actions in the home equity world. It consist of a wide range of possibilities from working out repayments or different repayments strategies with individual borrowers taking short sales in the certain circumstances at an expense, completely restructuring loans and others wrapping the seconds into a restructured first given the current interest rate environment, all of the above and others are inflate today. It’s not something that you could say “we well do a lot of work in the month of March and that will have immediate benefit” what we are working on today would be loans less theoretically, would be in line for charge offs in the third and fourth quarter and that’s why we are talking about seeing a moderating number in the second half of the year.
Bob Hughes - KBW: Okay are you guys cutting home equity loans at all?
Tim Barber : That’s one of the things that we are doing on a proactive basis for a portion of the portfolio that we being high risk based on performance, based on information we acquire about the consumers.
Bob Hughes - KBW: Okay, and then one final question if I may. The -- so the $0.35 in the first quarter of it to achieve your guidance that sort of assumes a run rate of $0.37 to $0.38 over the course of year. I guess in part, some of that is related to the assumption that provision expense will go down in the second half but to me it seems like still a little bit of a stretch just viewed in those simplistic, in those simplistic terms. What -- given the margin decline in your guidance 15 basis points accounts for about $0.13 differential, what’s going to help you get there recognizing that you could see some higher provisioning cost at least in the second quarter. Is the -- so I guess your going to be pretty lumpy low in the second quarter and then considerably higher in the third and fourth based on your provisioning, is that how your envisioning.
Tom Hoaglin : Well Bob, keep in mind too as far as our earnings in the first quarter it is in fact by the seasonal items, but the day account cost is about $4 million as far as our net interest income, our deposit service charge is about $9 million lower in the first quarter than they are in any of the other quarters because of the seasonal issues and we also had about $9 million of higher expenses associated with the employment taxes and also occupancy costs, our snow removal cost alone were almost $3 million in the quarter and hopefully we won’t get a whole lot of snow in the second through third quarter this year. So those three items represent about $0.04 a share and so from that you are right that we would expect our provision expense to be lower in the second half of the year than what we are expecting for the first half of the year and so there should be some improvement in the provision expense in that time period, but keep in mind to that our first quarter, our provision expense exceeded charge off by $40 million. Even if we would have had 60 basis points in charge offs instead of 48 that would only even out $12 million of that $40 million increase, so we still have some healthy build to our allowance which we would now view as something that would be recurring especially in the second half of the year.
Bob Hughes - KBW: Okay, all right guys thanks.
Jay Gould: Operator this is Jay Gould, we are running up against some time constraints, so we can take one more caller can we do that please?
Operator: Yes sir. Our last question comes from line Jeff Davis with FPN Midwest.
Jeff Davis – FTN Midwest: Thanks but my questions have been covered.
Jay Gould: Great, okay. Operator?
Operator: Yes sir.
Jay Gould: I would like to thank everybody for participating. I know that there is still some people with questions, so please give me or Jack a call, we will do all we can to respond to those questions appreciate your forbearance with our having some time constraints this morning. Thank you so much. Bye.
Operator: And this concludes today’s conference call. You may now disconnect.